Operator: Good morning ladies and gentlemen. Welcome to the CGI Quarterly Results Conference Call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Mr. Lorne Gorber, Vice President, Global Communications and Investor Relations. Please go ahead, Mr. Gorber.
Lorne Gorber - Vice-President, Global Communications and Investor Relations: Thank you Melanie and good morning. With me to discuss the third quarter of fiscal 2007 are Michael Roach, our President and CEO and David Anderson, Executive Vice President and CFO. This call is being broadcast on cgi.com and recorded live at 9 AM on August 1st. Supplemental slides as well as the press release we issued earlier this morning are also available for download along with our Q3 MD&A, financial statement and accompanying notes, each of which are being filed with both SEDAR and EDGAR. Please note that some statements made on the call may be forward-looking. Actual events or results may differ materially from those expressed or implied and CGI disclaims any intent or obligation to update or revise any forward-looking statement whether as a result of new information, future events or otherwise. We report our financial results in accordance with Canadian GAAP, but we do discuss non-GAAP performance measures which should be viewed as supplemental. The MD&A contains definitions of each non-GAAP performance indicator used in our reporting. All the figures expressed on this call are in Canadian dollars unless otherwise noted. I'll turn the call over to David first to review the quarter's results and then to Mike who will discuss strategic highlights of the quarter before making a few concluding remarks at the end of the Q&A. So with that, David?
David Anderson - Executive Vice-President and Chief Financial Officer: Thank you, Lorne, and good morning. I am very pleased to share the financial details of another very good quarter. Revenue was $933.3 million compared with $856.5 million in the same period a year ago, representing 7.7% growth year-over-year. On a constant currency basis, the company grew by 8% year-over-year. On a sequential basis, the net negative impact of foreign currency on our revenue was $22 million, due primarily to the weakening U.S. dollar. Excluding this impact, we were able to grow our business slightly over the second quarter. EBIT margin strengthened in Q3 to 11.2%, improving from 9.0% in the third quarter of 2006. Net earnings were $64.4 million or 80% better than the $35.9 million reported in Q3 of 2006. Our net earnings margins continue to improve, reaching 6.9% in the third quarter. We continue to maintain our leadership position within our North American and European peer groups. Basic earnings per share in the third quarter was $0.20 per share on a fully diluted basis... I'm sorry, it was $0.20 per share and on a fully diluted basis, $0.19. This compares with $0.11 in the same period last year. The $0.01 difference between the basic and fully diluted earnings per share reflects the 94% of the outstanding options that we are now in the money. To summarize the P&L after nine months of 2007, revenue has improved by 6%, EBIT by 40%, net earnings by 60% and our basic earnings per share has grown by 80%. Now let's turn our attention to the balance sheet and the generation of cash flow. We improved our DSO, reducing it to 43 days from 48 days in the year ago period. We are very pleased with our team's continued focus on cash management. This focus drove our ability to generate $134.6 million in cash from operating activities in the third quarter. That's $27 million than the third quarter of last year. We used $15 million to purchase an additional 1.3 million shares during the quarter. This brings the total number of shares repurchased during the first nine months of fiscal 2007 to 6.7 million shares at an average price of $9.53 for a total investment of $63.8 million. In Q3, we also repaid $70.9 million in debt. Over the last 12 months, our long-term debt is down by nearly $300 million. Including cash and cash equivalents of $96.7 million, our net debt was $421.4 million at the end of Q3 for a net debt to capitalization ratio of 17.7%, a significant improvement from 25.5% at the end of the third quarter of 2006. As you know, we reported results in Canadian dollars. Given the rapid rise of the Canadian dollar versus its U.S. counterpart in Q3 and the number of related questions we are getting, I want to spend a few minutes on how currency fluctuations impact our financials. First, in addition to the U.S. dollar, we also contract business in various other currencies such as the euro, pound and the Australian dollar. As we experienced in Q3, the sequentially weaker U.S. dollar was partially offset by the strengthening of most other currencies, resulting in a top line reduction of a net $22 million. However, on a year-to-date basis, the impact to our revenue was not significant at $4.5 million. With respect to the bottom line, our strategy is to mitigate the currency impact using natural hedges. Cost inputs such as insurance, maintenance and software contracts as well as interest payments, where possible, are paid in U.S. dollars. Although currency negatively impacted our Q3 net earnings by $2 million, the year-to-date impact has been less than $500,000 through the execution of this strategy. The impact of currency goes beyond the P&L, extending to our balance sheet and backlog. As a result of the U.S. dollar weakness, the goodwill on our balance sheet decreased by almost $40 million over the last 12 months. Our U.S. dollar denominated debt has also affected the translated value of our $192 million U.S. private placement issued in 2004 has decreased or declined by more than $50 million Canadian without making a single principal payment. Finally, the resulting strength of the Canadian dollar provides a solid M&A currency. This is an additional enabler to our build and buy strategy. In summary, we delivered very strong results in Q3 and continued to strengthen our financial position. Now I will turn the call over to Mike.
Michael E. Roach - President and Chief Executive Officer: Thank you, David, and good morning everyone. I am delighted with the way our teams continue to create and seize profitable growth opportunities in the third quarter and in fact throughout the first nine months of our fiscal year. We had another very strong quarter. Against many key performance indicators, it was one of our best yet. We delivered very strong margins in quarter three, EBITDA margins of 15.5%, EBIT margins of 11.2 and our net earnings margin was 6.9. These improvements in margins are directly correlated to our ongoing ability to excel at execution. In other words, delivering client projects on time and on budget, generate efficiency gains and increase resource utilization, continually reduce cost inputs across our global operations and continue to reduce debt and lower our interest charges. Bookings, revenue and profitability grew across all geographies. On a constant currency basis, we grew our year-over-year revenue by 6% in Canada, 10% in the U.S. and more than 15% in Europe and Asia. As you'll recall, the full offering strategy was put in place to stimulate profitable growth with new clients, contract extensions and additional services for existing clients. The profitable growth results this quarter and year-to-date support our strategy. It is working and it's continuing to gain momentum. Another clear validation of our strategy can be seen in the improved bookings. Over the last four quarters, we've consistently improved our bookings from $462 million to $769 million, $860 million and to $1 billion in the third quarter or 1.1 times revenue. We remain committed to growing the backlog with a book-to-bill greater than one time on an annual basis. CGI's backlog to revenue ratio of more than 3.5 times annual revenue remains the strongest of the peer group at $12.4 billion. On the cash side, we generated almost $430 million from operating activities during the first nine months of 2007. Over the last 12 months, we generated $1.45 in cash per share or more than $480 million and at 14.4% of revenue in quarter three. We remain one of the highest cash generators of our peer group. We continue to see improved demand for our services, and accordingly, we are expanding our recruiting efforts across CGI. Net additions to our workforce over the last 12 months stand at more than 1000 new professionals and we are actively recruiting across our network including in our global delivery centers. As a reminder, we'll be opening a new delivery center in India next month which will significantly increase our expansion capacity. We continue to create and pursue all profitable growth opportunities which will generate additional shareholder value over time. As part of this commitment, we continue to strengthen the balance sheet, reducing debt and buying back our shares. And as we said last quarter, while we are pleased that the CGI value proposition continues to be recognized by investors a valuation gap remains between CGI and the other top performers in the group. Our PE over the last 12 months has appreciated to the peer group average. But our performance is stronger than the average of our peers. In fact, we believe our valuation should reflect the leadership position we hold considering valuation drivers such as EBITDA, EBIT, earnings per share and net earnings margins as well as cash flow and profitable revenue growth. Therefore, we believe the opportunity for further appreciation also remains as we further differentiate and communicate our story to investors. We are committed to closing this gap by focusing on the fundamentals of growing and operating a successful business. At the same time, we will aggressively continue to communicate our business strategy and competitive differentiators with a particular emphasis on the U.S. market, which now accounts for almost 40% of our institutional shareholder base. In short, we are intensifying our investor relation activities by taking our value proposition directly to those investors who focus on strong fundamentals such as cash flow and those who hold one or more of our peer group. As part of these efforts, we are planning our first ever Investor Day in New York City this fall. Details and formal invitations will be forthcoming. Our team looks forward to having the opportunity to discuss our business strategy and performance with you in person. Let's go with questions now Lorne.
Lorne Gorber - Vice-President, Global Communications and Investor Relations: Just a remainder that a replay of the call will be available either via our website or by dialing 1-800-408-3053 and using the passcode 3228152 until August 15th. As well, a podcast of this call will be available for downloaded at either cgi.com or through iTunes within a few hours. Follow-up questions can be directed to me as 514-841-3355 and media can follow up directly with Philippe Beauregard at 514-841-3218. Melanie, if we could poll for questions from the investment community please? Question And Answer
Operator: Certainly. Thank you. We will now take questions from the telephone lines. [Operator Instructions]. The first question is from Mike Abramsky of RBC Capital Markets. Please go ahead.
Mike Abramsky - RBC Capital Markets: Thanks very much. Could you give us a little bit more color on the waiting of new contract extensions and upsells that drove your growth both in Canada and U.S.?
Michael E. Roach - President and Chief Executive Officer: Thanks Mike for the question. I would say that directionally, we are seeing more of a shift now to revenue being generated from new clients. The first couple of quarters we were kind of building out selling more to existing clients. That continues. We also were extending some contracts. That also continues. But I would this say this quarter, when I look at some of the bookings, directionally more starting to come from new clients where a full operating strategy is making some penetration and getting some attention of some clients. So I think it's starting to shift a little more to new clients and exactly where we wanted it and directing it to go.
Mike Abramsky - RBC Capital Markets: And the U.S. I think was about 12% constant currency last quarter versus 8 this quarter. I mean obviously both these growth numbers are positive relative to historic growth. At the same time, was last quarter... why was last quarter perhaps a little bit stronger? Could you give us some sense of that as well maybe what you might directionally see going forward on growth?
Michael E. Roach - President and Chief Executive Officer: Well again, our numbers would suggest that the... on a constant currency basis, the growth in U.S. was closer to 10 this quarter than 8. And when I look at 12 to 10, I would say it is nothing more than seasonal fluctuations there. So I think the message to take away, Mike, when you look at the U.S. is that it's... the growth there is running ahead of the total growth in the company, our investment at AMS [American Management Systems] continues to pay off, we are making traction there, it's a big market and we do expect to continue to grow at a faster rate in the United States. We believe we've got the pieces in place there to continue to grow at a healthy rate and grow profitability, I would like to reinforce as well. We are very pleased with the margins in the United States as well as the growth. So we remain very optimistic about our prospects in the U.S. market.
Mike Abramsky - RBC Capital Markets: My error [ph]. You're right, sorry. I meant to say 10. So you see the 12 to 10 as sort of the range that you are sort of comfortable at as a sustainable range now for the U.S.?
Michael E. Roach - President and Chief Executive Officer: Well, again, I don't look at quarter-to-quarter. I think as I pointed out directionally, given the size of that market, our positioning in it, the work that we have done on the full offering, the team we have got there. We will grow the U.S. over time in a faster rate than the company and certainly, we believe that 10% and above is certainly doable in the U.S. market.
Mike Abramsky - RBC Capital Markets: Okay. And then lastly, it looks like BCE was up from a year ago. Is it on track for the contracted 400 minimum and is there any risk to this revenue stream as a result of the private equity buyout?
Michael E. Roach - President and Chief Executive Officer: The commitment, just to remind you for 2007 calendar year, is 425. We have no reason and have had no indication from BCE that they don't intend to meet that commitment. I believe they are on track to do so. As far as the private equity play at BCE, just remind you that we have a contract in place with BCE to 2016. There is no change of control provision in there on the BCE side in that contract and we continue to look forward to working with management and the new owners to provide them with opportunities to increase value to their shareholders. And we believe IT will play and continues to play an important part of BCE's strategy and we believe we are well positioned, Mike, to continue to work with the new owners.
Mike Abramsky - RBC Capital Markets: Okay, great. Thank you very much.
Lorne Gorber - Vice-President, Global Communications and Investor Relations: Thanks Mike.
Operator: Thank you. The following question is from Scott Penner of TD Newcrest. Please go ahead.
Scott Penner - TD Newcrest: Thanks. Mike, just on the heels of a couple of pretty strong quarters on organic growth, I just wanted to get a sense of the focus on some of your inorganic activities. Have you picked up the look for larger acquisitions and in what areas of your business, either geographically or vertically, do you think could most benefit?
Michael E. Roach - President and Chief Executive Officer: I think it's a good question. Again, to be clear, we never stopped looking at that site of our strategy. I mean as you know, we have a build and buy strategy. This year, obviously, the emphasis is and the results have demonstrated is clearly on the organic side. Having said that, we continue to look for acquisitions that fall within our overall criteria, and again, I will remind you of some of the major components of the criteria. On the financial side, it has to be accretive to earnings per share in the first year. From an operational perspective, it's got to be something that we can integrate and retain the value of the client relationships and the employees. And from a strategic sense, it has to be aligned to the verticals we operate in. And we are also looking for companies that have deep long-term relationships that we can leverage ultimately into a discussion on managed services and help build our backlog. Primarily, we are looking for players in the U.S. and Western Europe. When you look at the current state of the world, I guess, as the Canadian currency is very strong, our balance sheet continues to strengthen, our valuation, while it's improving, as I said earlier, I don't believe it's at its right level quite yet. But the factors in terms of making an accretive acquisition, a number of them are falling in place. But it always still comes down to, Scott, the basic principles. You have to find the right target at the right price at the right time. We are very patient. We are in this thing for the long haul. And I have often said the only thing worse than no deal is a bad deal. So we are going to stick to the knitting, continue to look at targets, and when we see something that meets the criteria, we are in a good position to move on it.
Scott Penner - TD Newcrest: And just further on that Mike, maybe you can just... it would be interested on your perspective regarding the competition on these deals, whether it is... whether you are seeing more of strategic players when you are in discussions or do you see private equity as a big influence in terms of pricing?
Michael E. Roach - President and Chief Executive Officer: No, I don't see private equity as a big player. On the pricing, I think in our business, they certainly have put a spotlight on the valuations, which is I think supports my concluding remarks that if you look at some of the valuations being put on a number of the players out there, our stock remains against that measure significantly undervalued when you look at what some of these companies are going out at on an EBITDA kind of ratio. But having said that, we bring something different to the table than a private equity player, and that's business synergies in terms of being able to drive incremental value out of these companies. And we also bring a very strong management team, which is something that I know the private equity guys are constantly looking for especially in our industry. So no, I am not overly concerned about that. I think on one side, as I say, it does put a spotlight on the valuations, which I think is good for our firm. But I don't see private equity as far as a competitor in terms of bidding on the type of companies that we are looking at here.
Scott Penner - TD Newcrest: Great. I will pass the line, but I wanted to ask David just one accounting question, and that is on the consolidation of the CIA [Conseillers en informatique d'affaires] business. You said in the statements that it was, that I believe you are using proportionate consolidation or 60% of the results into your statements. Does the changing control now assume that that other 40% is now recognized on your financials and what, if any, impact did that have on the quarter?
David Anderson - Executive Vice-President and Chief Financial Officer: Yes, you are right Scott. It is fully consolidated now. So 100% of the revenue flows into the revenue line. 100% of expenses roll in. And you'll notice on the balance sheet, there is a small new line item which has about $53,000 as proceeds [ph] with it... or sorry, it's on the income statement and it's the minority interest in regards to the 40% that we do not hold on that. From a revenue perspective, it was not a very significant number in the quarter.
Scott Penner - TD Newcrest: Okay. Thank you.
Operator: Thank you. The following question is from Jason Kupferberg of UBS. Please go ahead.
Jason Kupferberg - UBS (U.S.): Thanks and good morning guys.
Michael E. Roach - President and Chief Executive Officer: Hi Jason.
Unidentified Company Representative: Good morning.
Jason Kupferberg - UBS (U.S.): I had a question on your operating margins where obviously following the restructuring last year, you guys have done a real nice job of boosting that metric and moved a little higher here this quarter at 11.2%. Can you just talk about any potential levers that you still have here to move that metric much higher? I mean from an industry perspective, it would seem that you are perhaps close to being maxed out, but you guys have a different perspective on that and now on some of the drivers. I would love to get some color there.
Michael E. Roach - President and Chief Executive Officer: Yes, I think it's a good question, and again, I think I have addressed this a number of times. We, as a philosophy and it's driven I would say largely from our long experience in the managed services or outsourcing business, we basically approached the business from an ongoing restructuring mentality. And what I mean by that is we are never satisfied with the level of margins. And again, I try to link that back to say if you look at a company that's executing a buy and build strategy, the fuel for a buy and build strategy are high margins and high cash flow. So it's linked there, and David walked through our performance, improving performance on DSO, which I think is one of the best, if not the best in the industry. So I try to give some color to that, and I really led with the first one, which I think is a very significant differentiator when you read a number of the competitors. The number one thing a company can do to continue to drive EBIT is actually deliver its projects on time and on budget. The second thing is to make sure you qualify your business to make sure that it's actually profitable revenue. And I've hammered, or hired on that probably for four or five years because I would like to reiterate there is revenue out there to be had, but it's not profitable revenue. So our view is we qualify the revenue and to make sure that there is profitable revenue there. Two, we try to manage our projects so that we deliver on time and on budget. Therefore, we don't leave anything on the table there that could impair our shareholders. As well, we are constantly looking at generating efficiency gains. For example, just in more kind of mundane areas, we have a capability that we sell to clients in terms of procurement, in terms of spend management. We have employed that service internally and we are constantly driving down and getting best prices on hotels, travel, airfare, what we buy downstream, constantly driving costs down there. We are also increasing our utilization rates. And as we continue to move more work to our global delivery centers, utilization rates of the company actually continue to creep up. And finally, as I said, we are, in the absence of the right acquisition target, we are going to continue to pay down debt, which is also helping us on the net margin side. So I would say, Jason, it's block and tackling type of stuff, ensuring that we are managing the company money as if it's our own. And our ownership model that we have, our business model, is very transparent and very visible. We know exactly in every country, in every line of business what our profitability are. We are able to move very rapidly to make corrections to improve margins. So having said that, I think our margins are at the best in the industry, if not certainly number two or so depending on the metric. But having said that, we believe that we can continue over time move our margins up.
Jason Kupferberg - UBS (U.S.): Okay. So you still see some room for upside there and all the factors that you talked about?
Michael E. Roach - President and Chief Executive Officer: Yes sir.
Jason Kupferberg - UBS (U.S.): And just to switch gears a little bit, coming back to the bookings, which obviously, as you pointed, have improved. I'm curious to understand whether there has been any change in the competitive landscape that you've observed in terms of who you may be going up against on a day in, day out basis and along with it, any comment on your win rate, to what extent that has changed?
Michael E. Roach - President and Chief Executive Officer: No, I would say we haven't really seen any kind of a material difference. Obviously Keane has now gone from the landscape. We don't run into them in their past form. But no, I would say that... I wouldn't say there has been any kind of a material change in the competitive play. Our win ratio is, again, what we are doing here is increasing the size of our funnel. We continue to qualify the funnels. Again, it has always been our case to make sure that we are focusing on opportunities that drive profitable revenue and... but no, I would say that it's more of making sure that we are focused on the right clients, the right business opportunities and that is helping us drive the kind of profitable growth that you've seen now for at least two quarters.
Jason Kupferberg - UBS (U.S.): Okay. And if I can just squeeze in a quick one on cash flow, you've had some really nice working capital improvements in the first three quarters of the fiscal year. I think historically, from a seasonal perspective, working capital usually turns negative in the fiscal fourth quarter. Will that again happen this year? I mean has anything structurally changed in the working capital profile here or is there just timing stuff that's been helping you year-to-date, and some of that's going to reverse out in Q4?
David Anderson - Executive Vice-President and Chief Financial Officer: No, I think if you were to go back and take a look at the Q4 MD&A of last year, you would have noted that the cash flow of the $55 million that we had coming out for that quarter was unseasonably low or unnaturally low. And it turned that at the end of the quarter, the last day of the year happened to fall on a weekend. Payments that we were expecting to get from clients were... well we thought we were going to have the cash coming in on the Friday; it showed up on a Monday. So there were a few little [ph] situations like that. So since then we had learned that we are making sure that we keep an eye on that particular focus. And if we have other weekends that are falling on... or sorry, ends of months that are falling on weekends, then we are working with the clients to make sure that the cash is getting settled in a little bit sooner. So I don't expect that we are going to see much of a negative impact as we go forward here.
Jason Kupferberg - UBS (U.S.): Okay, thank you.
Lorne Gorber - Vice-President, Global Communications and Investor Relations: Thanks Jason.
Operator: Thank you. The following question is from Paul Steep of Scotia Capital. Please go ahead.
Paul Steep - ScotiaCapital: Great. Thanks. Mike, maybe you could talk a little bit, particularly in the U.S., since it's hard to sort of parse out of the numbers as to which segment... it looks like it's ITS that's sort of driving some of the growth down there. Maybe a little about the deal sizes and what's driving it. Is it Strata type deals? Is it your software or is there some other dynamic there given the weakness that TBI [ph] keeps citing?
Michael E. Roach - President and Chief Executive Officer: Yes, it's certainly in the ITS side. You are quite right. A piece of our growth in the U.S. and also in Europe is coming from, as part of the full offering strategy, we are revisiting clients, past clients of AMS. In a lot of cases, they had a versions of AMS software that haven't really been upgraded or updated. And a good example would be CACS, which is around collection. And CACS, the collection solution, covers a number of industries. It crosses industries. It could be government, it can be telecom, it can be financial, it can be automotive even, and anybody that does collections. And we've been systematically calling on these clients, looking to upgrade and expand our services there. And that's certainly generating some growth. It's also bringing back on line relationships that have been dormant. So we are seeing some of that. We are also seeing some activity, a bit in the telecom area where the telecom companies in the U.S. are starting to get settled down after a lot of the mergers down there and we are intensifying some of our activity into there. And then of course the government piece in the U.S. remains fairly robust. We are very well positioned in there from a relationship standpoint, from a solution standpoint and government continues to invest. We have some very good solutions in the child welfare side. Of course, we have Advantage. We have Momentum, we have our data center in Phoenix now that is picking up steam as an excellent nearshore alternative to our clients in the U.S. So again, the investment and the work that we have made in the U.S. is starting to pay dividends. As well as I'll remind you, we made that point when we bought AMS is the solutions that AMS had down there are very sticky in terms of it's very difficult to move away from them once you have them and secondly, they draw about a 5 to 1 ratio in terms of service to license fees under the AMS model. In our model, as you know, we are trying to pull those and push those out to managed services, and that multiple of 5 to 1 will increase significantly as these turn into 5 and 10 year deals.
Paul Steep - ScotiaCapital: And just actually on that point, have we had much progress in terms of I guess turning over a number of these clients to managed services deals? I know there was the original Washington State advantage deal, and that was sort of the flagship. Where have we gone since then?
Michael E. Roach - President and Chief Executive Officer: Yes, I think we have... certainly, we have on momentum, the Federal one, I think the backlog on it is in excess of... I think we have had that, it's about 250 or something, over $250 million in terms of backlog that has been generated in turning what would have been one time into multiple year revenue. This is the kind of thing, Paul, that we want to bring directly to the investors at our Investor Day. I think it's a timely opportunity for us to really bring more clarity around the original strategy and how we are executing to it. And that's one of the reasons we want to hold the Investor Day. But yes, that piece is moving along and we are working, as I say, on the financial side as well, the CACS solutions, the other solutions there that are also getting very, very good traction.
Paul Steep - ScotiaCapital: Okay. And then I guess the last one for me, just you mentioned earlier like prior to this call, we talked on free cash that as we got the debt down, you were going to sort of leave it at a debt level of around 17% in that range to total cap. And you have just stated that you were going to take the debt down maybe a little further with an acquisition. Is there really a change here or are you just sort of thinking are you going to manage through that? What's the thought on shareholder value here?
Michael E. Roach - President and Chief Executive Officer: Well again, I think you've got to be careful on these type of metrics. There are signposts, they are not something that drives how we manage the business. As I said earlier, in the absence of an accretive target, we are going to continue to focus on the fundamentals of running a good business. And as we generate the cash, we'll look to invest that cash in organic growth to grow our business. In the absence of that, or after that, we continue to look at accretive acquisitions. And with the remaining cash, we'll continue to pay down debt and we'll continue to buy back our shares. I mean we believe our shares are undervalued and accordingly, we are going to put our money where our mouth is. We have been buying shares now for 12, 18 months. I think we have put the average price that we have buying at in the press release. It's under... it was 953, I think it was, or --?
Unidentified Company Representative: So far this year.
Michael E. Roach - President and Chief Executive Officer: So far this year. And again, we believe the stock's undervalued. So we think it's accretive and the right for our shareholders to continue to pay down debt and buy back shares and use our cash to drive value for all our shareholders. So that's what we are going to continue to do.
Paul Steep - ScotiaCapital: Fair enough. Thanks.
Lorne Gorber - Vice-President, Global Communications and Investor Relations: Thank you.
Operator: Thank you. The following question is from David Wright of BMO Capital Markets. Please go ahead.
David Wright - BMO Nesbitt Burns: Thanks very much. Good morning.
Michael E. Roach - President and Chief Executive Officer: Good morning David.
Unidentified Company Representative: Hi David.
David Wright - BMO Nesbitt Burns: You commented earlier on potential or your thoughts around acquisitions in that there is a company out there that has put itself up for sale, Maximus. Just wondered if you had any comments that you wish to make regarding that --?
Michael E. Roach - President and Chief Executive Officer: Yes, I would say a couple, David. Maximum isn't the only company that is up for sale. I think in our industry, I think the term that's used is looking at our strategic alternatives. So there is a number of companies that I think are looking at strategic alternatives. It's not prudent for us and it's not our style to comment on each company that's looking at this. I would just reinforce the criteria that I stated earlier. Any acquisition has to be accretive to earnings per share in the first year, got to be a strategic fit, has got to be something that we can integrate operationally. So again, the same criteria, but again, it's not prudent for us to comment on every acquisition that's out there, especially companies that are public.
David Wright - BMO Nesbitt Burns: That's fair enough. Thank you. You mentioned in your press release regarding BCE and their contribution. How about your top five customers, what percent of the business are they?
Michael E. Roach - President and Chief Executive Officer: I don't think there has been any material change on that. 23% or so, David.
David Wright - BMO Nesbitt Burns: Okay. And you talked about your India facilities and you plan to expand them. How many people do you currently have there? Is it still around the 100 mark and is it that you have increased demand or you are trying to increase your capacity and hope demand will come along?
Michael E. Roach - President and Chief Executive Officer: No, no. What we are doing is as we continue to grow our global delivery model, we'll end up growing all our centers. So we are also experiencing growth in our Montreal center, we are also experiencing growth in Southwest Virginia and we are also experiencing growth in India. What we wanted to do in India, we wanted to put a new facility in there to make sure that we are positioned for further growth. I think our headcount today is roughly about 1300. We continue to add at a rate that balances quality and cost. With the new center, depending on how many floors we take, we could certainly scale up India to 4 or 5000 people overtime. But again, that growth, you have to put it in proportion to the growth of the company. We continue to expand in our existing centers in North America and Europe, but again, we continue to see demand for global delivery and we are also, in my own view, seeing more and more demand for our type of global delivery. We are getting clients who would like to take a very close look at the alternative of balancing some of the work they are currently doing in India with our North American model here. So, again, the India thing is another milestone in continuing to build out and expand our global delivery model. It's a positive one. I'll be going over for the opening and at the same time have an opportunity to meet directly with all our members as part of our annual tour, but it's another milestone. But I would also reinforce that we are continuing to grow at our other centers here in North America.
David Wright - BMO Nesbitt Burns: Okay. Thanks. And my last question is about your BPS business. There is very limited growth in this area, and perhaps I started with the wrong expectation. But I thought that this would be a higher growth field for you considering you'd be able to sell the BPS facilities to your clients that are using your IT services. Any comment on the growth rate there and whether you expect it to change in the near future or whether you are just happy with the way it's kind of moving along?
Michael E. Roach - President and Chief Executive Officer: Well, we are never happy, but I would say a couple of things. I think you have to... there are some adjustments to be made on currency on the BPS business coming out of the U.S. The second thing, the piece of business that we have in the insurance industry, I'd mentioned before, I am not sure it's a result, David, of our better driving skills, but there is fewer claims. I'd say that for a guy who is living in Montreal.
David Wright - BMO Nesbitt Burns: It's Montreal, right, for you... okay.
Michael E. Roach - President and Chief Executive Officer: But the reality is there are fewer claims. Therefore, the volumes on that claim piece is putting some growth pressure on the top line. Having said that, the margins, though, in the cash flow on this business are very strong and therefore are kind of an important ingredient here into the overall model that we have. So I'm certainly not discouraged there. I think there is a bit of a cyclical play there in that business. But the businesses that we are in there are solid businesses that are generating good margins and good cash. And so from that perspective, we remain pleased with our investments that we have in the BPS space.
David Wright - BMO Nesbitt Burns: Thank you very much.
Michael E. Roach - President and Chief Executive Officer: Thank you.
Lorne Gorber - Vice-President, Global Communications and Investor Relations: Thanks David.
Operator: Thank you. The following question is from Susan Chen of Merrill Lynch. Please go ahead.
Susan Chen - Merrill Lynch: Thank you. Another question on BPS. You mentioned a negative impact from client merger. Is that... how big is the impact and when is that going to annualize?
Michael E. Roach - President and Chief Executive Officer: Client merger, I think we were talking on the claim side? Well, again, I don't know when it's going to end. I guess that industry, like a lot of industries, are continuing to consolidate. But again, what we do in those cases, Susan, we continue to change and restructure our operations to put us in a better position for that type of work. So I am not... you get a short-term impact on the long term. I am not sure it's a material impact. I think the claims business, as I mentioned, is down because of the industries are down industry wide. As they merge, of course, they end up with two claim shops of their own. Therefore, the amount of business they do with third parties goes down on a temporary basis. But overtime, what normally happens is again, they look at what they should keep internally versus externally, and when that exercise is done, the external option remains a very attractive option from a cost service perspective. So you have a short-term or medium-term impact when two companies merge. Obviously, as I say, they've got two claim shops internally, so they've got to do something. But overtime, that works its way out of the system. Having said that, on that business, we have a bit of a counter to that, which is the underwriting business. And normally when the claims business is weak, the underwriting business has traditionally been stronger. So we get some offsets especially on the margin side, but proportionally it's not as large, so you don't... you can't offset the downdraft on the revenue side.
Susan Chen - Merrill Lynch: Okay. Can you comment on your U.S. Federal business? I know that's probably 5%, 6% of your overall revenue, but can you comment on the funding environment and what's the impact on your business?
Michael E. Roach - President and Chief Executive Officer: Well again, the U.S. Federal business is a very, very good addition to CGI. As you may know, we created that after the merger with AMS, got a very strong team, all a high security clearance and again, very focused on that big federal budget, which I think on the civilian side is close to $100 billion. So it's also an area where we are implementing the strategy I spoke about earlier in terms of taking solutions and offerings and turn them into managed services, and we are certainly doing that in the Momentum side. So we've got a great team there, a good leadership group, good offerings. We are a relatively small player in comparison to the big defense players that play in there, but we are getting a very good hearing from the clients and we expect, similar to what I said about the U.S. growth rate, we expect our growth rate in the Federal space to outstrip what we are doing companywide and should certainly be in excess of 10% growth overtime.
Susan Chen - Merrill Lynch: Thank you. Two more modeling questions. Going forward, what should we expect the tax rate should be?
Michael E. Roach - President and Chief Executive Officer: The tax rate?
Susan Chen - Merrill Lynch: Yes.
David Anderson - Executive Vice-President and Chief Financial Officer: The tax rate --
Susan Chen - Merrill Lynch: Because this quarter it was 33.6%, and how should we model the tax rate going forward?
David Anderson - Executive Vice-President and Chief Financial Officer: I would suggest you just hold it pretty close to where it is right now.
Susan Chen - Merrill Lynch: Okay. So about 33, 34 is the right rate?
David Anderson - Executive Vice-President and Chief Financial Officer: I think that's what I just said, yes.
Susan Chen - Merrill Lynch: Okay. In the D&A side, you mentioned that some of the assets have been fully amortized. Should we expect the same level of D&A going forward because that portion had gone... go away, the amortization?
David Anderson - Executive Vice-President and Chief Financial Officer: I understand. Yes, I would think that you can because those assets are out of the base now.
Susan Chen - Merrill Lynch: Right. And that will give you a little operating margin lift?
David Anderson - Executive Vice-President and Chief Financial Officer: A little bit, yes.
Susan Chen - Merrill Lynch: Thank you.
Lorne Gorber - Vice-President, Global Communications and Investor Relations: Thanks Susan.
Operator: Thank you. The following question is from Naser Iqbal with Salman Partners. Please go ahead.
Naser Iqbal - Salman Partners: Thanks. Congratulations guys. I'll try and make it brief. Mike, just on the first question, you talked a while ago about your strategy of you had done 5, 600 accounts, then harvesting exist accounts. Just how far would you say you are along that strategy and how much more lag do you think this can play out as it is seems like a gimmy [ph] and an easy layout for your business?
Michael E. Roach - President and Chief Executive Officer: I would say we are probably about halfway through. And again, I think some of you may expected us to bend through further or less, but I would tell you that to do it right, it takes time. You've got to get to the right player in each company, and we have to make sure we have the right players on our side there. And so that's on the coverage side. Then there is going to be a lag, a, because in some cases what we are doing is really reeducating the base and in many cases, new customers introducing CGI's full capabilities. In a number of cases, it obviously doesn't generate an opportunity right away, but it does keep us top of mind. And we are seeing cases and you will see some of those and maybe on some of the subsequent calls I'll draw some of them out, but you'll see cases where I said AMS may have had a relationship years ago, it's been dormant, we have ignited it, and you will see a win coming out of that. So you will see there is... we are going to continue to cover off of that base. In some cases, we are adding to that where were some of the targeted clients. We have done a qualification and feel that we want to move to sub that out and come to a new win. So it's not a static list from that standpoint. Beyond the existing base, the new clients, that list will continue to evergreen. So I don't really expect the program to stop I think. I think it's more of an ongoing commitment to ensure that our clients are fully briefed and abreast of the capabilities that we can bring to help them win and grow Naser.
Naser Iqbal - Salman Partners: Okay, great. And then the other question would be just, I guess, Canadian dollar parity is maybe not in blue sky anymore, but just in terms of you have been doing great so, the dollar hasn't affected you, but in terms of getting some kind of an advantage despite the rising dollar, like what are you doing just to offset that?
Michael E. Roach - President and Chief Executive Officer: Well, one of the reasons Dave covered off quite a bit of that in our script, and our message I think was two-fold there. One, on a year-to-date basis, although we got hit hard on a net basis on the top line this quarter; on accumulate basis, it's not a material number. It was $4.5 million on the revenue side. You can't really hedge revenue. On the bottom line, as Dave went through, while the rapid rise of the Canadian dollar or I guess depreciation of the U.S. dollar in the quarter, it was for about $2 million on net income. On a year-to-date basis, it's less than $500,000. And as a result of those natural hedging that Dave talked about, the program we have in place, it's working. So we don't feel the need to do anything more there from that perspective.
Naser Iqbal - Salman Partners: Right. But in terms of have you found that it... if it has any impact in terms of for new contracts and your pricing of those where you have to move some... more offshore to like India, say, to counteract that Canadian dollar than you would have had say months or nine months ago?
Michael E. Roach - President and Chief Executive Officer: No, no.
Naser Iqbal - Salman Partners: Okay. And just last quick question, sort of like me [ph] I can't find what the BCE revenues was during the quarter. Can you just --
David Anderson - Executive Vice-President and Chief Financial Officer: Yes, it should be in the MD&A. I think it's about --
Unidentified Company Representative: 11.4.
David Anderson - Executive Vice-President and Chief Financial Officer: 11.4%.
Naser Iqbal - Salman Partners: Great. Thanks a lot guys.
Unidentified Company Representative: Alright, you have a good day now.
Operator: Thank you. The following question is from Richard Tse with National Bank Financial. Please go ahead.
Richard Tse - National Bank Financial: Hey guys, just a couple of quick questions here. With respect to Virginia, what's sort of the status on that contract and sort of your ability to expand that, because I believe there is, I think an RFP in the market, or coming to the market which sounds pretty sizable here. Can you just sort of give us some color around that?
Michael E. Roach - President and Chief Executive Officer: Well I think it was two elements of our work in Virginia. One of our Center of Excellence, which, I said continues to grow at a very healthy rate, and we are actually attracting additional brand name clients to that center. So the growth rate there is very good. On our deal with the Commonwealth of Virginia, with the change of government there, that has slowed down somewhat. But we do feel that it's still a very strategic relationship and that overtime, our original feelings on what that will generate for CGI is still essentially intact. On the specific RFP, I don't really like to comment on that. Maybe we can get a little bit offline and come back on that because there are a lot of RFPs out there, and I want to make sure that we are giving you the situation there. But we don't really want to comment too much on specific RFPs as you can imagine.
Richard Tse - National Bank Financial: Okay.
Michael E. Roach - President and Chief Executive Officer: We just don't have friendly people listening to this call.
Richard Tse - National Bank Financial: Yes. Okay. I appreciate that. With respect to acquisitions, you guys obviously are generating a lot of cash flow and paying down the debt aggressively. So it's sort of a follow up on a previous question, but would you guys ever consider sort of rather than doing a buyback and without acquisitions, considering paying out a dividend here given that I guess over the course of the next year you are pretty much going to have your debt paid down meaningfully?
Michael E. Roach - President and Chief Executive Officer: Well, I mean we have a policy of reviewing our dividend on an annual basis. It's normally done right before our AGM. We'll continue with that policy. We look at every possible way to bring maximum valuation to our shareholders. So dividends are always looked at. But I would also say that in times when money is starting to tighten up out there, it's a good position to be in to have a strong and strengthening balance sheet. And there is worse things in the world than holding cash on your balance sheet. So we are not... we don't feel pressured to do that. I think our strategy of focusing on the fundamentals, growing our business profitably, generating cash, paying down our balance sheet, our shareholders are seeing that appreciation in our stock, and we believe that if we continue to do this and get our message out directly to the buy-side here that we are going to get... we are going to continue to bring increased valuation for all our shareholders. But we'll look at dividends on an annual basis.
Richard Tse - National Bank Financial: Okay, great. Thank you.
Michael E. Roach - President and Chief Executive Officer: Thanks Richard. Melanie, I think we'll have time for one more question from the investment community.
Operator: Thank you. The following question is from Richard Garcea of Haywood Securities. Please go ahead.
Ralph Garcea - Haywood Securities: Hello, it's Ralph Garcea here.
Unidentified Company Representative: Good morning Ralph.
Ralph Garcea - Haywood Securities: Just a couple of quick questions. On the momentum in Advantage business, are most of those deals sort of sole source when you try to upgrade those guys or will they invite SAP, Oracle and other vendors in there to try to keep you honest on pricing?
Michael E. Roach - President and Chief Executive Officer: They know we are honest on pricing, Ralph. But on an upgrade, no... on a new installation. But on an upgrade, no. Obviously, the embedded costs of switching out is a big, big factor there. So what we are really getting that is the opportunity to open the discussion up, have you considered managed services? And certainly on a new installation, a new opportunity, we do compete against the SAP, the Oracles. But again, even there, one of the points I would like to reinforce, most of those companies do not have a business model that in fact accommodates the managed service offering. So they tend to look for partners, an SI partner, that would actually make that offering, because their business models are very much built on getting their software licenses and moving on. Our model is a combination of the bolt with a heavy emphasis on the managed services. The second opportunity comes when there is an upgrade is to be able to open the dialogue up to say since the acquisition of AMS by CGI, we now have a managed services offering. We can run this thing in the United States in our Phoenix data center, we can maintain it in the United States at a lower cost center in Southwest Virginia if you would like and we have people that are in Washington that are experts in this system at your disposal, which is a pretty compelling offering. So we come at it that way. As far as the pricing, again, because our model is built that way, our pricing is very competitive, Ralph, because again, our model is not built on maximizing the license revenue.
Ralph Garcea - Haywood Securities: Okay. And then related to that, I mean on the Canadian public sector side, other than let's say document management and some of the healthcare solutions you have been rolling out, are there other opportunities there to grow that pipeline the way you have in the U.S. with Advantage, Momentum, the welfare package etcetera?
Michael E. Roach - President and Chief Executive Officer: Not specifically on those solutions, but I would say that similarly in the Canadian market, you will see that we are very active in the healthcare side on the payer side. And we are very active there in terms of bidding on the work that Health Infoway is helping the fund across Canada, and we have a very good position there that also includes doing application maintenance for various governments from British Columbia, Alberta and onward. But as well, I would say in a number of cases in Canada, on the government side, they are looking at different models that have a recurring revenue element to it. And again, that's where we are very well positioned. In fact, the contract that's under dispute to the ETS in Ottawa is actually an example of that. That contract would have a recurring revenue stream to it. And maybe to provide everybody with an update on that is the government and the vendor that's protesting, have a day in court coming up here in September. We believe that the government position will prevail and that contract will eventually be awarded to CGI. But that is another example of a recurring revenue element creeping into our government business north of the border as well as in the U.S.
Ralph Garcea - Haywood Securities: Okay, thank you.
Lorne Gorber - Vice-President, Global Communications and Investor Relations: Thanks very much Ralph.
Michael E. Roach - President and Chief Executive Officer: Okay. Well, thank you for your questions and interest. I would just like to take a final moment to wrap up and emphasize a few key takeaways from our perspective. First, we had a very strong third quarter and it was one of our best yet. We are on track. We are executing to our plan to consistently deliver profitable growth. And finally, we look forward to being able to review our business strategy and performance with you in person this fall at our Investor Day in New York. Again, thank you for your interest, thank you for your questions, thank you for your support and have a great day.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. Thank you for your participation and have a great day.